Operator: Good morning, and welcome to the Emerson Third Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Pete Lilly, Investor Relations. Please go ahead.
Pete Lilly: Thank you so much. Good morning, everyone, and thank you again for joining us for Emerson’s third quarter earnings and conference call. Today, I’m joined by President and Chief Executive Officer, Lal Karsanbhai; Chief Financial Officer, Frank Dellaquila; and Chief Operating Officer, Ram Krishnan. I’d also like to introduce and welcome, the new leader of Emerson Investor Relations, and certainly an upgrade for the role, Colleen Mettler. Colleen joins us from the Automation Solutions finance organization, and will be your main point of contact going forward, as I try to transition to a new role in the operating business units. Many thanks to you all for your support and friendship over the past couple of years. It’s been fun. I certainly wish you health and success. As always, I encourage everyone to follow along with the accompanying slide presentation, which is available on our website. Please join me on Slide 2. As always, this presentation may include forward-looking statements, which contain a degree of business risk and uncertainty. Please turn to Slide 3. And I will turn the call over to Colleen to introduce herself and cover some exciting developments within Emerson.
Colleen Mettler: Thanks, Pete. I certainly have big shoes to fill. As Pete mentioned, I’m coming into this role from our Automation Solutions finance organization, and I’ve been with Emerson for over 13 years. I’m certainly excited and humbled to be joining the Investor Relations team during this dynamic time for our organization. I look forward to speaking with all our investors and partners very soon. Now, I would like to take a moment to highlight two areas of real ESG impact within Emerson. First, on Slide 3, and keeping with environmental sustainability framework of greening of, by, and with Emerson that we introduced in February, our first topic is about Greening by Emerson. It is a great example of how Emerson solutions are relevant in enabling our customers’ sustainability initiatives. Emerson recently signed a multi-year agreement with PureCycle Technologies, which has a novel technology and process for fully recycling plastic number 5, polypropylene back to a clear pellet. As some of you may know, polypropylene is a common form of plastic that has not had great recycling options. Emerson is serving as their born digital automation partner going forward with initial plant project in Ohio, Georgia and a remote operations center in Florida. Now, please join me on Slide #4. Our second topic is a Greening with Emerson example. Leveraging our Helix Innovation Center in Dayton, Ohio, Emerson has collaborated with the Department of Energy and their Oak Ridge National Laboratory to advance next-generation HVACR technology, expanding the applicability of heat pump technology, redesigning refrigeration architectures to maximize efficiency and food retail, and working to minimize energy used and leaked in commercial HVAC applications are just a few of the exciting areas of cooperation. We have a number of collaborations with the Department of Energy and their lab. We look forward to continuing to build these relationships and support the development of novel solutions and real sustainability roadmap going forward. Now, please turn to Slide 5, and I will turn the call over to our CEO, Lal Karsanbhai.
Lal Karsanbhai: Thanks, Colleen. Just a few words before I turn it over to Frank to go through the financial data. First, Pete, thank you very much, Godspeed and have a good luck in your new opportunity. We’re all very excited for you and thanks for all of the hard work. Welcome, Colleen. It’s great to have you here. Colleen and I’ve had the opportunity to spend a couple of years together in Automation Solutions, and we’re very blessed to have her join our Investor Relations team.
Colleen Mettler: Thank you.
Lal Karsanbhai: So, welcome. Thank you. I’d like to express my thanks to the leadership teams and the management and our employees globally for what has been a very, very well-executed quarter. And we have a lot of energy and momentum behind us, which was very exciting to see as we executed through the last three months. I’d also like to express my thank you to our shareholders. I had the opportunity over the last six months to meet many of you, and I look forward to meeting more of you, as I go through the next part of the year. But I appreciate your continued confidence, your challenges and, of course, your investments. A few things, just -- that are non-financially related that I wanted to mention to the team here. First of all, our cultural work is well underway. We will be announcing our new Chief People Officer later this month. We’re all very excited about the selection process. It will be an outside hire and somebody who fundamentally will have the opportunity to come in here and really help us, as we navigate some of the challenges and create a many of the pathways that we have as we evolve the culture of Emerson into the future. Secondly, our portfolio work is complete. We have – we are now -- we’re getting ready to review it with the Board, which will occur at the October Board Meeting. We discussed briefly with the Board yesterday. And essentially, what we have defined is multiple paths for our business to drive higher underlying sales growth and diversification of the portfolio. We’re all very excited about the process we underwent. It was very exhaustive. And we have turned over a lot of different spells, defining broad markets with high-growth and loss of optionality in terms of M&A and organic activity, very exciting there. I’ll mention on the M&A front that industrial software continues to be critical, as we think about share of wallet and we think about the potential for underlying growth acceleration. And there are many pathways there. Our OSI acquisition is performing incredibly well and ahead of our internal synergy board plans. So, that’s been very, very well done. But what stands out to me most above all is the execution by the team. Yes, there were market tailwinds, and we’ll talk about those, particularly as they accelerated in Automation Solutions and continued across our commercial residential businesses. And they are relevant, but the execution was absolutely phenomenal. There were a lot of hurdles to overcome through the quarter, material inflation, material availability. We did a lot of expediting. We had to get very creative in qualifying suppliers, logistics and management of cargo around the world, and, of course, labor availability in the United States. But the team just did a great job. And lastly, before I turn it over to Frank, the cost reset work is well underway and we’re now in the tail end of the span. And we’re seeing, despite these operational headwinds, the value of that work being reflected in the incrementals of the Company. The operating leverage -- profit leverage at 34% was very strong, and now, most importantly, has given us the room to accelerate investment in differentiating technologies. And further -- that will further, I think, drive relevance -- increased relevance at our customer base. So very exciting headroom that’s created and we started those investments. And I’ll share a number of those with you and we’ll talk about that more as we go through the year. So, with that, I’ll turn it over to Frank. And I’ll speak towards the end of the call.
Frank Dellaquila: All right. Thank you, Lal. Good morning, everybody, and thank you for joining us. We’re especially pleased with the results in the quarter, especially in light of the operations challenges that Lal just described, and Ram will talk about them later in the call.  If you please go to Slide 6. So, continued recovery in our end markets, combined with the benefits of the cost reset actions, and it drove strong operating performance and financial results in the third quarter. Adjusted EPS was $1.09, up 36% from the prior year. Demand continues to strengthen the sales coming in ahead of our expectations with underlying growth of 15% and June trailing three-month orders were at 26%. Automation Solutions notably turned positive this quarter in both sales and orders, up 9% in sales and 17% on an underlying basis. Commercial & Residential Solutions continues to experience robust demand across the business and geographies with 29% sales growth and 43% orders growth on an underlying basis. The cost reset benefits continued to be realized as planned, reading through to the margins. And along with the additional volume and leverage, they drove adjusted segment EBIT growth of 40%, 280 basis points of increased margin to 19.6%. Cash flow continues to be very strong with operating and free cash flow approximately 30% year-over-year and free cash flow conversion exceeding 150% of net earnings. We’re continuing to implement the remaining elements of the cost reset program. In this quarter, we initiated $32 million of restructuring actions. The program is on schedule and delivering the projected savings, as we planned.  Please turn to Slide 7. There’s a bridge of the earnings per share increase from prior year. The operational performance was very strong. So, the noteworthy thing on this chart is the green bar. Operations added 33% to adjusted EPS, and it was balanced between the platforms. They both delivered strong profit leverage on the strength of volume increases and cost reduction benefits, as Ram mentioned, while leverage was 34% across the enterprise. Tax, currency, pension stock comp netted to a $0.05 headwind, and there was a minor favorable impact from share purchase. Again, in total, adjusted EPS was a $1.09, up 36%. Please go to the next chart, chart number 8. So, as I mentioned, underlying sales is up 15%. Gross profit increased 90 basis points to 42.4%, driven mainly by the benefits of the cost reduction actions and then the leverage on the volume across the enterprise. We did offset the impact of price cost headwinds, which we are beginning to see intensify and which we will see in the next couple of quarters, and we will talk about a little later in the call. Adjusted EBIT margin was 18.4%, up 310 basis points. Effective tax rate was 19.2% versus 11% in the prior year. Last year, we had several favorable discrete items, mostly around R&D credits that we described at the time. This was a $0.10 headwind year-over-year that we overcame. Adjusted EPS, as mentioned, was $1.09 versus $0.80, last year. If you go to Slide 9, please, we’ll talk about earnings and cash flow. Adjusted segment EBIT again increased 40%, margin up 280 basis points. Leverage on volume and cost reset benefits offset material cost headwinds in the Climate Technologies business. Adjusted pretax earnings increased 350 basis points to 17.6%. Operating cash flow was very strong, up 31% at $1.1 billion. Free cash flow was $977 million, also up a little over 30%, driven by strong earnings growth and effective working capital management. Lastly, the trade working capital ratio improved to 15.4% of sales. Turning to Slide 10, we’ll look at Automation Solutions. Underlying sales turned positive this quarter at 8%. Trailing three-month orders accelerated to 17%. The improvement in the Americas is particularly encouraging and notable with continued momentum in life sciences, food and beverage and medical markets and a return to growth more broadly across the traditional process automation markets and sustainability-related business. We’re seeing increasing KOB3 activity across our process automation customer base, mainly driven by shutdown turnaround and outage activity and OpEx spend. MRO spend is returning to pre-pandemic levels from pent-up demand and delayed STLs. CapEx spending is recovering at a slower rate with tailwinds from site-based emissions and optimization projects. The platform continues to implement the comprehensive restructuring actions that have been ongoing, and the benefits are flowing through to the financial results. Adjusted EBIT margin increased 320 basis points and 310 basis points at adjusted EBITDA, driven mainly by the flow-through of the cost reset savings and by the volume leverage. The integration of OSI continues to go very well. We’re very pleased with the acquisition and the results to date, and we have increasing confidence in the synergy plan that we have. Backlog increased to $5.5 billion. It is up 17% year-to-date. We’ll talk a bit about the project funnel and other opportunities later in the call. Turning to Slide 11, we’ll review Commercial & Residential Solutions. Sales were up on an underlying basis, 29% versus the prior year. Orders continue to be strong and very broad-based in their strength. The June trailing three-month underlying orders were up 43%, and it was very balanced across both, Climate Technologies and tools and home products. All our businesses and geographies showed strong double-digit growth. Residential markets continue to be strong and growth has accelerated in cold chain and professional tools. The Americas were up 29% with continued strength across all end markets. Europe was up 37%, driven by continued heat pump demand and increasing sales of professional tools. Asia, Middle East and Africa was up 25%, driven by cold chain and various heating technologies. Margins improved by 170 basis points of adjusted EBIT and 120 basis points of adjusted EBITDA, driven by the strong volume leverage and the cost reset savings, which more than offset the price cost headwinds that we are seeing in the business. Please turn to Slide 12. I’m going to pass this over to Ram. And he’s going to talk a bit about operations, what we’ve done in the quarter to deliver the results and some of the challenges that we face.
Ram Krishnan: Thanks, Frank. Clearly, as you can see, our operating environment remains very challenging as commodity inflation, electronic supply and labor availability continues to impact our global operations. Steel prices are at record highs with 11 months of consecutive increases and, in our estimation, have not peaked yet. Plastic resin prices remain elevated as our global teams have maneuvered expeditiously defined alternatives to maintain supply. And while copper pricing has receded off record highs, it is still up over $1.40 a pound year-over-year. Our hedge positions lessened the impact to 2021, but the inflation impact in terms of copper will carry over into most of 2022. Electronic shortages are proliferating in most of our businesses, impacting both platforms, and supply is expected to remain constrained well into 2022. Very little component inventory on microprocessors, controllers, linear integrated circuits are available in the open market, and the number of shortages faced by our EMS suppliers is growing, severely impacting lead times. And finally, labor availability continues to be an issue across many industries in the U.S., and our businesses are impacted as well. Our V-shaped demand recovery in many of our Commercial & Residential Solutions businesses, local competition driven by tight labor markets in many cities, and rolling labor constraints as waves of COVID disruptions impact our sites, has added a new level of complexity to our operational plans. It is important to note that price cost remains at an unfavorable $75 million as we estimated last quarter. No change, but we expect the maximum impact of the commodity inflation to be felt in the next two quarters. Now, despite these challenges, turning to Slide 13, I’d like to highlight some of the outstanding work by our global supply chain and operations teams to combat these challenges and help deliver phenomenal operational results to date as they remain flexible, creative and nimble in a dynamic environment to serve the needs of our customers. Our supply chain teams have worked tirelessly in this environment to ensure continuity of material supply to our global plants. As you can see on the chart, many creative solutions are being implemented on a real-time basis, quickly and effectively. Our regional footprint, both on the manufacturing side as well as supply chain that we spent many years developing, has certainly been an advantage for us in these challenging times. Many of our global plants are producing at record levels while ramping up capacity to meet surging demand and, in many cases, in-sourcing critical elements of the supply chain to address sudden disruptions. I do want to take this opportunity to sincerely thank our global teams for delivering an outstanding operational quarter. With that, I’ll turn it over to Lal to walk through our full year guidance and outlook.
Lal Karsanbhai: Thank you, Ram. Let’s turn now to Slide 15. We are improving our sales outlook for the year, based on the continued strength in our orders, the pace of business and the year-to-date profit performance. We now expect underlying sales growth to be near the top of our May guidance of approximately 5% to 6%, Commercial Residential above their range in May at 15% to 16%, and Automation Solutions closer to the top of their range at 0% to 1%. The strong volume and improved cost base will flow through to margins. Our estimates are now 50 basis points above the previous guidance, increasing adjusted EBIT margin and adjusted EBITDA by 0.5% to approximately 18% and 23%, respectively. There’s no change to the restructuring, tax rate, capital spend or dividend. Strong profitability and working capital performance enabled an increase in our operating cash flow and free cash flow estimates, both of which increased by $300 million. We are also raising our adjusted EPS guidance to $4.07, plus or minus $0.01. Our price/cost headwind for 2021 currently remains as estimated in Q2 and Ram covered at $75 million, despite the current challenges that were highlighted. We continue to manage this through containment, selective price actions, but the recent market developments that Ram described will be a challenge through the next two quarters, as we navigate them. Stock compensation impact increases to $125 million. So, now, we’ll go over to chart 16, and I’ll just frame the order environment that we’ve experienced through the last three months. Emerson’s trailing three-month orders continue to be very strong and have momentum from the last update we gave you in the second quarter, with Commercial & Residential Solutions continuing to climb higher in their order run rates and Automation Solutions turned sharply positive to the high-teens in June. Commercial & Residential Solutions continues to see strength in residential, cold chain and the professional tools business, and all three very near to that average band of 43%. Discrete and hybrid markets in Automation Solutions continue to be very strong, while we see recovery in later cycle process automation markets, especially in North America. KOB3 and KOB2 are driving most of the recovery, but we are beginning to see some KOB1 activity materialize, particularly in chemicals, power and biofuels. The Americas really strengthened, up 29% as deferred maintenance demand and site access drove momentum. Finally, as we have commented in the past quarters, life sciences momentum continues to be extremely strong. Let’s now turn to chart 17, and I’ll review the underlying sales growth outlook. Q3 underlying sales were up 15% versus prior year, exceeding our management expectations, driven by the strength in Commercial & Residential Solutions as well as the North America recovery just discussed. Full year expectations on underlying sales are between 5% and 6%, at the top end of our prior guidance of 3% to 6% and sales of approximately $18.4 billion. The fourth quarter is expected to land in the high single digits to low double-digit range. For the remainder of the year, we expect to see the North America business continue to recover in Automation Solutions as well as continued broad strength in commercial residential solutions. However, the impact of supply chain and labor issues will be a challenge. Let’s now turn to Slide 18, and I’ll review our outlook by geography. As Frank mentioned, for the full year, we are expecting Automation Solutions sales to be flat to 1% and Commercial & Residential Solutions to be between 15% and 16%, driving us to our overall 5% to 6% underlying sales expectations. So, starting off in the Americas. Quarter four is expected to be strong in Automation Solutions at approximately 20% growth, broad-based recovery across all industries, led by continued strength in discrete and increasing strength in hybrid. Process is showing some recovery, although uneven with some strength from returning domestic oil demand, offset by reduced midstream investment and continued fiscal restraint in upstream. For KOB3, we expect to see continued spend for deferred maintenance and increasing spend for site access that has been pent-up from the pandemic with an expectation that we will see a strong fall shutdown turnaround season. In Latin America, strength in mining industries, particularly, are expected to continue. On the Commercial & Residential side of the business, ongoing momentum in the residential markets, driven by do-it-yourself trends, home starts and HVAC seasonality as well as strength in professional tools and cold chain are expected to continue. Europe will continue to see demand in life sciences and biofuels on the automation side. Project wins in power, midstream, downstream and sustainability will drive low to mid-single-digit growth in Q4. Commercial & Residential will see robust demand for heat pumps and professional tools as well as the continuation of the refrigeration market recovery in Q4. Turning to Asia, Middle East and Africa. Our Asia automation business is seeing healthy project activity in marine, nuclear, life sciences and semiconductors and a positive trend for site level spending in the Middle East. On the Commercial & Residential side, we are seeing the commercial recovery across the region, specifically with commercial AC and cold chain solutions. Ongoing COVID restrictions continue to be a challenge across the organization, particularly in this part of the world. Let’s now turn to chart 19, and we’ll review the business funnel for Automation Solutions. So, back in February, we commented that our traditional large project funnel was $6.4 billion, and this should be something that is very familiar to those of you who watch this carefully. Since February, we have booked approximately $80 million of projects, some LNG and one most notably in Mexico. New projects added include clean fuels, hydrogen, renewable diesels, lithium mining and LNG projects, while projects removed from the funnel since February were mostly oil and gas and downstream refining projects. The August 2021 funnel is now valued at $6.3 billion and approximately 180 projects. And below in the donut pies, you can see the industry mix of our traditional funnel. We have identified new decarbonization opportunities. And though generally smaller than our traditional definition of projects for our funnel classifications, these projects are increasingly relevant to our business. They’re being added into this view so that -- because they have the potential to grow in nature over time. Today, as depicted on the chart, these opportunities are worth $400 million and approximately 120 projects. The combination of our traditional project funnel and the new sustainability funnel is now valued at $6.7 billion. And below is the combined industry mix where we are working to diversify our funnel. On the right side of the chart, we are introducing the business opportunities with our recent OSI acquisition, which gave us an important foothold into the transmission and distribution automation space. These opportunities have slightly different characteristics from our traditional project funnel definition, and therefore, we are keeping it separate for our discussion purposes today. Generally, these opportunities are smaller and more numerous compared to our large traditional project funnel, but they are clearly strategically important. The value of these opportunities is $1.5 billion and are made up of 530 projects. To give you some perspective on the scale and how differentiated it is, approximately 15% of that $1.5 billion has a value of greater than $5 million, and 50% of it is between $1 million and $5 million. The funnel is global, although approximately $1 billion of it is in North America and Europe. Overall, we have strong opportunities ahead, and I’m bullish on overall project outlook as we diversify and expand into new spaces. Now, let’s turn to chart 20. This is a very important chart. And as Frank mentioned in our financial results showcase, our robust cost reset plan is being incredibly well executed across the enterprise. As a reminder, this comprehensive plan began in late 2019 and will be fully realized by 2023. It involves over $600 million in spend and approximately $650 million in savings. In February, we also introduced our midrange targets of 24% adjusted EBITDA margins and $4.75 to $5 in adjusted EPS. We are very much on track to reach those targets by 2023. Importantly, however, the recent outperformance and momentum through the end of 2021 is creating some headroom for critical investments, and I’m particularly excited about this, particularly as I think about key technologies that will enable our business to outperform over the long term. As you can see, revenues, margins and cash flow are all better than February expectations and are enabling this acceleration in technology investments. I’ve outlined four examples below and we’ll come out over the next months and in depth in February as to how we’re managing and thinking about these very significant investments. Those examples outlined are the Copeland K7 scroll, which is the largest new product investment in the history of our air conditioning business. This thing drives obviously increased performance and meets the 2023 efficiency regulations and is optimized for 2025 refrigerants. The Greenlee remote cutters, an award-winning tool on the right hand side of the chart, which enhances safety for cutting underground cables. The Gemini, which has our next-generation pressure in temperature device being developed in our measurement solutions business, which will have next-generation electronics, unmatched safety and process insight. And lastly, our Plantweb Optics, our integrated operational performance platform, which unifies data, people and systems to drive operational performance. And with that, I will turn the call over to the operator, and we’ll begin the Q&A. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Hi. Good morning, and I look forward to working with you, Colleen. In terms of, I suppose, Lal, the Automation Solutions sort of revenue outlook. So, a lot of very good color in the slides. It looks like the guidance is embedding sort of mid-single-digit type growth in the fourth quarter in Auto Sol organically. When we take your comments together in terms of a sort of stable funnel since February and maybe an ongoing sort of subdued oil and gas CapEx backdrop, should we take that as a good sort of medium term or into next 12 months sort of placeholder that mid-single-digit type Auto Sol growth rate?
Lal Karsanbhai: Hi. Good morning, Julian. Thank you. Thanks for the question. I think that’s fair. Look, the recovery has been largely fueled by modernizations and MRO spend across facilities. There has been, as I indicated, some KOB1, but that’s not what’s going to drive us going forward. So, what I would expect is, I think, that conversion in -- of those two segments of the business into -- from orders into sales would continue. And I think the guidance is -- I think that’s a fair assumption.
Julian Mitchell: Thanks very much. And then, maybe switching to the margin aspect, maybe clarify how much of that $75 million price-cost headwind sort of falls into the fourth quarter. And when we look at Com Res margins in that context, can that business sustain a sort of 20-plus percent incremental margin the next six months, or does it get sort of pushed below that by the price-cost headwinds?
Lal Karsanbhai: Great question as well, Julian. Clearly, that’s where the challenge is going to be is on incrementals in Commercial Residential for the next six months. The team is working both sides of the equation, Julian, price and cost. We’re getting very creative in terms of the contract structures and the negotiations with our major customers. But we also have opportunities to continue to work availability of materials, sourcing from different world areas, moving a few things around. But that’s where the biggest challenge is, and I would suggest that your assertion is correct that the incrementals in that business are going to be the most challenged as we go over the next six months.
Julian Mitchell: Great. Thank you.
Operator: The next question is from Josh Pokrzywinski with Morgan Stanley. Please go ahead.
Josh Pokrzywinski: Wow, I got nailed there, Josh. A couple of questions. I guess, first on some of the kind of extra funnel additions, particularly on decarbonization, nice to see that tick up. I guess, can we add some more context there, if you wouldn’t mind. I mean on one hand, your customers have -- some of your legacy customers are pretty big emitters. Is there more of a push on those folks to sort of diagnose, measure and improve, or is more of the funnel that you’re tracking sort of on more green technologies, like you mentioned hydrogen? Like, which one of those is showing up more and which one do you think could be kind of the bigger needle mover here in the medium-term?
Lal Karsanbhai: Yes, great question. And I think there’s a little bit of both in the funnel. I think if you look at the traditional $6.3 billion funnel, there was already embedded in that a lot of the biofuel conversions, emissions monitoring work that’s being done downstream, particularly in refining and other parts. What’s in the green bar, what’s in the new opportunities, I think, are significantly incremental investments. And those are partially driven by things like green diesels, which is basically the manufacturing of diesel, but using a feedstock that is a sustainable feedstock or the investments in hydrogen. If you recall, back in February, we talked about $1 billion opportunity for hydrogen that was framed around 2030. However, as we now bring these projects into our -- and this is a very defined pursuit process that we run within the business. We now bring those into that pursuit, and we are pursuing those to 2023, and that’s the view of the $400 million. I expect that to increase over time and the number -- not just the number, but the scale of those projects to become more and more meaningful, which is why we’re talking about it today. But you’re absolutely right. I think, our core integrated oil customers, upstream through the midstream and downstream, they’re all spending dollars, incremental dollars on emissions, sustainability, reliability, productivity, all around those automations to drive to their ESG commitments. And that can come in the frame of conversions or of optimizing current processes.
Josh Pokrzywinski: Got it. That’s helpful. And just on the price-cost side, I know some of what you guys have out there, particularly in Com Res has kind of pricing contracts that we set periodically, maybe annually. I would imagine that that puts you a bit more behind the curve this year. Can you maybe talk about what just slipping the calendar or flipping the fiscal year sort of sets up in terms of price cost? I know Ram talked about some of the hedges, postponing things like copper inflation. But I think there’s probably a little pent-up pricing opportunity as well. Could you maybe kind of match up how those things work together?
Ram Krishnan: Yes. So, I’ll take that. From a pricing perspective, as Lal mentioned, our Commercial & Residential teams are working that diligently. Many of the pricing, particularly with the large OEMs, some will happen in October, but many of it will happen in the Jan time frame. So, you’ll expect the pricing to kick in, in a big way into our second quarter. And that’s all well underway. In terms of the steel and copper pricing, certainly, the copper hedges will flow through, through the year. We’ve modeled that out. On the steel side, we do expect the next three to six months to be pretty tough. But outside of that, going into the second quarter, we’ll start seeing the better pricing on steel come through as well. So, I would say, from a pricing perspective, a lot of the pricing from our perspective is modeled in the Jan time-frame.
Josh Pokrzywinski: Okay. So, after that six-month timeframe, it is a bigger step-up. Understood. I appreciate it. Thanks for the color, both.
Lal Karsanbhai: Thank you.
Operator: The next question is from Andrew Obin with Bank of America. Please go ahead.
Andrew Obin: Hey, guys. Good morning.
Lal Karsanbhai: Good morning, Andrew.
Frank Dellaquila: Hey, Andrew.
Andrew Obin: Hey, I just was wondering if you can talk about sort of internal bottlenecks, and specifically I’m thinking Com Res. It seems resi HVAC is doing very well. You’re talking about V-shaped recovery in tools. Do you need to add capacity at Copeland and tools to deal with demand? And how are you thinking about it?
Ram Krishnan: Yes. We are clearly in a position where we are adding capacity and will add more capacity as we go through this plan. Certainly, at this point, we’re fighting labor challenges in terms of short-term capacity in many of our current U.S. locations, but we are adding capacity, both in the U.S. as well as Mexico for both the Climate Technologies business as well as the tools business. So, the answer is yes.
Andrew Obin: Excellent. But it’s not a constraint, right? How much of a constraint is it to growth, I guess?
Ram Krishnan: It is not a constraint at current levels, I mean, outside of the labor challenges we see. But, as we model out the long-term growth dynamics of the business and certainly, the regulation changes that are coming down the pipe, it’s important for our longer-term plans.
Andrew Obin: Got you. And just a follow-up question. I think, you disclosed systems and software now. Can you just break down how much -- what is organic growth? And I mean, clearly, the balance would be M&A. And also specifically hone in on growth trends that you’re seeing in OSI Power, the funnel is very impressive there.
Lal Karsanbhai: Yes. So, as we -- Frank and I mentioned in the comments, Andrew, we’re very pleased with the performance of OSI Power. We were actually up there for a growth planning session just earlier -- late July. So, the teams are performing incredibly well. Management, we’ve retained management, and they’re executing the plans. And what we’re seeing is actually higher-than-expected ability to leverage existing relationships that PWS and Ovation have across the large power companies in North America. But, more importantly, the opportunity to greatly geographically expand this business at a far higher rate than we expected at the time of the acquisition. So, validating the technology, validating the applicability and the customer relevance has been very important for us. So, we’re excited. There is an opportunity to build around this business, and there is a vision to continue to transform this into more of a pure software play in terms of evolution from perpetual into subscription, in terms of outsourcing services and focusing on software and looking around measures that are relevant for software businesses, such as annual recurring revenues and things of that sort. So, we’re working that very aggressively within the business. In terms of growth rates, I would suggest high single digits on the Systems & Solutions business. And I would say, Jeff, that the data management layer grew slightly above that, but on average. But, I don’t have that number in front of me. But that would be based on what I have seen and heard, my understanding, Andrew.
Operator: The next question is from Jeff Sprague with Vertical Research.
Jeff Sprague: Thanks for all the transparency on your thought process here about a strategic review and everything. But, it is interesting, I guess, you say that you’ve concluded it, and you will review it with the Board in October. So, I suppose that suggests any idea of any large-scale strategic change or something like that is not on the Board or you wouldn’t be sitting on that until October. And instead, we should think about you’re cultivating a investment pipeline and kind of an M&A pipeline and, as you said, kind of looking at ways to create new growth vectors and potentially diversify a bit. Is that the right read on what you said in your opening remarks?
Lal Karsanbhai: It’s an interesting read, Jeff. I’ll tell you this. The M&A pipeline is ever green. We’re working a number of opportunities as we speak, which are related to and aligned with the strategic portfolio study that we’ve done. So, we’re very excited about those, and we’ve been speaking to the Board about those opportunities through the summer and will continue to do so through this month because some may come sooner rather than later. That’s okay. Now, in terms of the overall study, look, this management team believes that the path to the higher multiple and to the total shareholder return performance is driving an increase in the underlying sales growth of the Company. And we need to fall into this bucket of 4% to 6%. So, as we look at our optionality around the makeup -- the current makeup of the portfolio and the potential to invest in new areas, that’s really what the study and the portfolio study focused on. And those are really where the engagements and debates with the Board will take place. But we’re walking and chewing gum at the same time. We haven’t stopped pursuing opportunities as a management team and as a Board, simply because we haven’t covered the details of the study with the Board, but they’re very much aware of it.
Jeff Sprague: Understood. Thank you. And then, just thinking about the investments, right, it would seem like you’re certainly on a pretty good glide path that kind of hit or beat those 2023 targets. But, it sounds like you are cautioning us a little bit that the investment spending and the bias to make sure there’s growth kind of beyond 2023 potentially tempers the upside of those targets. Is that kind of a correct perspective?
Lal Karsanbhai: No. Honestly, glide path is generous. There’s a lot of hard work to hit those targets, Jeff, by everyone engaged. And there are always obstacles in the way as we’re experiencing -- as we have experienced this quarter with labor and materials, as Ram and Frank described. So, it’s a lot of hard work to get there, and we’re not taking our eye off the ball. Having said that, not only do we need to work the portfolio opportunities that I just mentioned with pluses and minuses, but we need to elevate the organic investments and the organic sales growth of the Company. And with that, we have to take -- we have to make those investments for the future. So, it’s both. We have the capacity to do both. We have the opportunity to do both, like many businesses. And we’re taking full advantage of that.
Operator: The next question is from Nigel Coe with Wolfe Research. Please go ahead.
Nigel Coe: So, Lal, we’re getting close to fiscal ‘22. So, I know you’re going through the planning process. But, given that the funnel is building here and the activity levels in automation, I’m just curious, normally, early phases of recovery, we see solid double-digit growth in automation. Is there anything that’s changing in terms of the profile of the front-log or backlog or anything that suggests that that’s not going to be the case at time? Can we expect double-digit type growth in ‘22 for automation?
Lal Karsanbhai: Yes. Hi, Nigel, great to hear your voice. A very thoughtful question actually. And if you go back through the last couple of growth cycles in automation, there was an important component, which we have to watch very carefully in this up cycle, which is the KOB1 element. We benefited from that in the ‘10 to ‘14 run. We surely benefited from that in the prior run in ‘18. But in this one, it’s been subdued to date. And that’s going to be the differentiating. Now keep in mind that we just underwent a significant investment in LNG that is being absorbed by the market. We have yet one big large project to go. But, it’s that -- that would be the -- I’d suggest that differentiated between the high single digits and the double-digit type of organic opportunity in Automation Solutions, if that makes sense to you.
Nigel Coe: It absolutely does. Thanks for the color there. And then, just coming on top of Jeff’s question on portfolio, and the October Board pitch, I guess, heard that loud and clear. But given the emphasis on diversification, is it fair to say that you’re focusing here more on acquisitions as opposed to disposals? I know you’ve done a couple of smaller disposals, but in terms of material acquisitions or disposals.
Lal Karsanbhai: Yes, we announced the divestiture of the Daniel oil and gas business. And what I’m going to tell you is, it’s both. We’re looking at the portfolio, both in terms of opportunities to acquire and/or opportunities to divest. And it’s a very fluid conversation with an element of that with the Board yesterday. We got their support. It’s both. Because to solve, whether it’s the equation around diversification from oil and gas and/or elevate the underlying sales growth of this company, we’re going to have to press both of those buttons.
Operator: The next question is from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Well, can you talk about how you’re thinking about the longevity of the Commercial & Residential Solutions cycle at this point? Obviously, [Technical Difficulty] relatively enduring, I think you were worried a bit about residential comparisons toward the end of this year. So, how are you thinking about enduring residential strength as you go into ‘22 as well as the improvements you continue to see in commercial construction, cold chain and tools?
Lal Karsanbhai: Great. So, I will bifurcate that into the three -- the two pieces, the climate piece and the tools, professional tools piece. Obviously, the professional tools has a different cycle, partly some of it driven by the similar set of investments that we’re experiencing in client, be it the residential growth, the do-it-yourself investments, which impacts our home products side of the tools. But the professional tools area, the rigid and the Greenlee, they’re really driven by infrastructure spend, capital cycles, not dissimilar to what we see in our mid-cycle automation businesses. And so those, I think, have sustained opportunity as we go well into 2022. The one we’re watching very carefully, as I look at climate, is the air conditioning residential cycle. And we’re watching those orders. We’re staying very close with our OEM customers, the trains and carriers of the world in terms of communicating, understanding their demand. But for now, I would expect a more subdued quarter as we go from an order perspective as we go into the fall season. But, we’re watching it very carefully. But that would make sense in the cycle that it subdues and comes. I know we’ve seen -- you’ve seen in our trailing already that commercial residential has turned, and that’s partly driven and entirely driven by that residential AC business. Ram, do you have any more color to give?
Ram Krishnan: No, I think that’s spot on.
Andy Kaplowitz: And then, Lal, you talked about being well into your cost-out program, which has been focused on automation solutions, as you know. And incremental margins continue to be strong there. I know we already talked about margin pressure in C&RS. But as we look at Automation Solutions margin going forward, given your cost-out program should continue to drive margin tailwind, could you continue to generate average or better-than-average incremental margin for that business in ‘22 and beyond?
Lal Karsanbhai: I think so, Andy. We printed 41% incrementals in that platform this quarter, and the team has begun their significant investments around their technology and people there. The business is structurally different than the business that I took on in 2018 today, in the way it goes about and the way it manages and the way it approaches customers. So, there’s a lot of room there. The target I’ve given the business is obviously is 30% incrementals. But, as we ramp up investments and such, I think we’re likely to see higher than those types of numbers as we go forward.
Pete Lilly: I think, our next question is from Scott Davis. Scott, are you there?
Scott Davis: I’m here, yes. Good morning, guys. I don’t know if we messed up or whatever, but a couple of clarification issues. Just, Lal, when you think about kind of price-cost in your backlog, do you get to a parity number kind of a calendar 4Q? I’m just trying to think about how cadence is in, or if you still are kind of fighting that headwind well into the next fiscal year?
Lal Karsanbhai: Yes. It does bleed into the next fiscal. Ram described the next two quarters as being the most challenging, which is right. So, that parity really arrives in our first fiscal -- excuse me, our first calendar of ‘22. So, our second fiscal of ‘22.
Ram Krishnan: Yes.
Scott Davis: Okay. Sorry if you said it before, I just didn’t hear it. And then, again, to clarify on the cost reduction actions, and you just had a big Board review, is that largely complete, or are there -- and can you -- I guess, do you need to start going in the other direction, I suppose, which I think Andrew asked that question about adding CapEx and such. But, do you need to actually start spending more money just given the size of the backlog overall?
Lal Karsanbhai: No. I think, Ram answered that well. I think we’re looking at optionality around capacity increases in the existing footprint and in the footprint that we have initiated as part of the cost reset plan. We have operations in construction of significant size in India, in Mexico and in Eastern Europe, and all those are underway. Some will begin production later this year, others in early 2022. So, we feel really good. The challenge for us, Scott, which is not thematical honestly and not dissimilar from anyone out there, is the labor availability in the United States. And to me, that’s the biggest single constraint and what we’re fighting on a daily basis across most of our facilities.
Operator: The next question is from Steve Tusa with JP Morgan. Please go ahead.
Pete Lilly: It looks like we may have lost Steve. So, we can move on to the next call -- next question? It looks like our next question is from Deane Dray. Deane, are you with us?
Deane Dray: Yes, I am. I missed that whole introduction, too. So, that’s the reason for the delay. Sorry about that. Good morning. So, page 16, the whole three-month underlying orders, can you give us some color on July, because it looks like Automation Solutions is pivoting to growth? And just any kind of color on July would be helpful there.
Lal Karsanbhai: I don’t have a number to share with you, Deane, but I would tell you, I think that -- excuse me, somebody came on the line here. That is a fair assumption. We continue to see increased momentum in Automation Solutions. Obviously, we’re watching parts of the world carefully, particularly Southeast Asia and India. But, in large significant markets, Europe, North America and China, we continue to see good order momentum, driven by KOB2 and KOB3.
Deane Dray: Got it. And then, second question has been really good color on the call here, especially in the portion from Ram on the focus on the cost inputs, labor, commodities, et cetera, but not as much focus on price realization. Can you give us, for the two segments, more color on pricing? And I know one of the headwinds on Commercial & Residential Solutions, on like Copeland, is locked into longer-term contracts. So, just price realization color would be helpful here.
Ram Krishnan: Yes. So first off, I’ll answer the question with -- as it relates to automation, automation has been green on price-cost and has been very, very disciplined in getting price this year, and that dynamic will continue into next year. So, we see no issues as it relates to price or price-cost on the automation side of the business. And on the Commercial & Residential side, particularly in the climate business, the price realization, which is a function of our long-term OEM contracts, will start unlocking in the January time frame of significance. Now, we do have pricing that will go into effect in October, but the big impact we will start to see in the second quarter of fiscal ‘22, which in turn, assuming the commodities start softening, will turn them into the green category into the second quarter of next year. So, that’s how we see it. A lot rides on our contracts, which open up in the Jan time frame.
Deane Dray: Got it. So, you said second quarter fiscal next year, but in answering your earlier question, it sounded like you would be at parity in the first fiscal quarter. Did I...
Lal Karsanbhai: I corrected myself there, Deane, and I did say...
Ram Krishnan: The second.
Lal Karsanbhai: First calendar, second fiscal.
Operator: The next question is from Steve Tusa with JP Morgan. Please go ahead.
Steve Tusa: Good morning. Can you hear me now?
Lal Karsanbhai: Yes.
Steve Tusa: Sorry. You guys usually have the call in the afternoon. So, I sleep in these days. So, I was just -- I fell asleep there for a second during the Q&A. Just to clarify some of this price-cost, what was price-cost in the quarter? And then, what has it been? Just remind us of what that’s been year-to-date?
Ram Krishnan: So Frank, you got that?
Frank Dellaquila: Yes. I mean price-cost in the quarter, total enterprise -- Steve, this is Frank -- is roughly about negative $50 million. So, we were positive in the first half. We’ll see that intensifying in the fourth and the first quarter, as both Ram and Lal have said. And we’re going to have to work through that right through the second quarter of next fiscal year. But, it was order of magnitude around $50 million in the third.
Steve Tusa: Of negative? Of negative?
Frank Dellaquila: Negative. All in commercial residential.
Steve Tusa: Right. So, you’re like absorbing a pretty decent amount this quarter already in your ops?
Frank Dellaquila: Yes, we are. Yes. This is just about investing in that platform.
Steve Tusa: Just kind of -- just trying to make that clear. Lal, just on the go-forward incremental margins, I mean, you kind of throw out, we need to invest. I mean, every company needs to invest. Nobody underinvests. I mean, some companies do, but it doesn’t seem like that way for you guys over time. What is kind of the normal incremental margin on that mid-single-digit growth rate that you can expect out of this business model over the next -- that you would expect and you would be comfortable with over the intermediate term?
Lal Karsanbhai: Yes. Steve, I continue to asset that 30% number, as we go through the long term. You’ll see that flex up and down, but that’s the target. And as we executed the cost reset plan, that’s the -- how we frame that with the businesses. There will be quarters, as we saw with automation, where we’ll print higher than 40. And there will be quarters as we sell commercial residential that we’ll print forward than 30. So, it will flex, but 30 is the way I’m thinking about it.
Steve Tusa: Got it. And then, just one last nitpicky one. Stock comp is obviously up massively this year. I know that there’s -- historically, like every few years, there’s like -- I don’t know if that’s where the reset is or if it’s somewhere else, maybe in corporate. Is 235 kind of a run rate number for stock comp going forward, or does that -- the prior two years were in the low-100. Is that -- does that reset lower?
Frank Dellaquila: No, Steve, definitely not. As you know, it’s mark-to-market driven. It’s driven almost entirely as a function of the change in the stock price. We had the dip in the stock price last year related to COVID. We’ve had good stock price performance this year and a big delta year-over-year. But no, that is not a run rate that should be expected, the 250 range. It’s more like a 150 to 170 number, give or take, from a run rate over time.
Steve Tusa: Got it. So, tailwind. And then, sorry, one last one. The orders conversion, I know there was an earlier question about mid-single-digit growth in the fourth quarter. I mean, you’re coming off of a 17% orders comp, and I know that orders don’t completely equal revenue in the immediate term. But, I mean, with that kind of orders projection and with you guys talking about turnarounds being good in the fall, I mean, why would organic growth slow in Automation Solutions? It’s a tougher comp, but it’s only a couple of hundred basis points where the orders are just obviously inflected. So, I mean why would that go from 8% to like 5% at the midpoint of that guidance? Is there something about timing, or is that just conservatism around the COVID or whatever?
Lal Karsanbhai: Well, less so COVID, more so the availability of materials, particularly electronics, Steve, that are a challenge in that business. And I think as we guided Automation Solutions within that band, I think it’s -- there’s momentum on the order side. The question is, can we convert in the plants? And it is a hand-to-hand combat. I can’t emphasize that enough in terms of material arriving and our ability to have the labor to convert it. And it’s -- and that is what keeps me a little bit more guarded in terms of the order-to-sale conversion in the fourth quarter.
Steve Tusa: Right. And that’s kind of like a couple of hundred million dollars difference you think in kind of your ability to fulfill?
Lal Karsanbhai: Well, I don’t know. I really don’t know what it is. It’s probably around the $75 million to $100 million range.
Steve Tusa: Yes. Okay. Still doesn’t quite bridge the gap, but that’s helpful. All right. Thanks, guys. I appreciate it.
Lal Karsanbhai: Okay.
Operator: The next question is from Gautam Khanna with Cowen. Please go ahead.
Gautam Khanna: I had a couple. First, just fiscal ‘22, based on your comments on the project funnel at Auto Sol, are you thinking that the KOB3 mix stays pretty similar to what it was in fiscal ‘21 as a percentage of sales? And what is that?
Lal Karsanbhai: Yes. So, the funnel -- I think, the funnel has shown resiliency as we’ve gone through the last six months or so, staying at that 6% level. The makeup of it obviously is different, smaller projects, different types of projects that we’ve seen in our -- from our customer base. Having said that, it’s all about the movement from right to left, the ability to convert the projects to be funded and then to be actioned. And that’s what we’ve got to watch and could be a differentiating element as we head into 2022 for Automation Solutions. I have a high degree of confidence, Gautam, that the transmission distribution funnel moves forward aggressively, that the renewables are sustainable, decarbonization part of the fund moves forward successfully, the conversions, the biofuels, the greenfield investments, the propylene plastic renewables that Colleen described move forward aggressively. What I’ve got to watch very carefully is the larger, particularly LNG jobs, that one big remaining one, the Qatar North Field expansion, [ph] how does that move and how do those folks think about the funding of that and as it moves forward. But that will be differentiating into 2022.
Ram Krishnan: And Gautam, if you were asking about the KOB3 mix in addition to the funnel, it’s in the high-50s. And we expect to operate at that range for the next several quarters, probably into the low-60s into 2022.
Gautam Khanna: Okay. That’s very helpful. And as a follow-up to one of the earlier questions at C&RS, in aggregate next year, do you think the business grows organically, just given kind of the outsized strength that we’ve seen this fiscal?
Lal Karsanbhai: I believe so, Gautam. And what we are going to, and you’ve seen in the numbers today, is that the backlog situation across the business is at $1.1 billion. And that’s what -- that’s the impetus to drive the organic growth, despite what happens in the residential AC cycle. And that will support the organic growth in the business for ‘22 .
Ram Krishnan: The longevity of our commercial businesses as well.
Gautam Khanna: Okay. Last question, just your comments on M&A and portfolio. Any change to how much we should earmark for M&A in our models over the next couple of years?
Lal Karsanbhai: Yes. We’ll come out with guidance as we think about things. Obviously, as I mentioned earlier, Gautam, we are at -- our funnel is very fluid right now. There’s a number of activities underway. And so, -- but, we’ll give you some kind of guidance as we go into -- as we come out in November.
Gautam Khanna: Said differently, are there any large properties, bigger than OSI that you guys are looking at? Thank you.
Lal Karsanbhai: Yes. I will -- yes, there’s a range. I would suggest that we’re looking more in the larger than we are in the bolt-ons right now, Gautam.
Operator: Our final questioner today is John Walsh with Credit Suisse. Please go ahead.
John Walsh: A lot of ground covered, but maybe thinking about OSI Power and your customers there. I mean, we picked up that there’s some activity in Spain and a couple of states in the U.S. Are you seeing the customers waiting for more clarity around stimulus before they’re going ahead with projects, or is there just enough demand there, given where renewables sit in the grid that they’re moving forward these projects, and there’s no kind of delay caused by who’s going to pay for it?
Lal Karsanbhai: No, I think it’s the latter, absolutely. Aging infrastructure, advent of renewables on to the grid that are causing all kinds of challenges, there are just strong underlying drivers that I think overwhelm the need for stimulus spend there. So, infrastructure bill, particularly in the United States will help, no doubt about it, and we’ll benefit. But there’s incredibly strong underlying demand as is in the traditional utilities, particularly in Western Europe and North America.
John Walsh: Great. And then, maybe just circling back to an earlier question around kind of supply chain and backlog. Did you grow backlog? Your sequential backlog growth, was that kind of demand-driven, or do you think there was some supply chain stuff that you wouldn’t have been able to ship and that’s why you were able to grow backlog? Just trying to understand if there’s some delayed sales or deferred sales there because of supply chain.
Ram Krishnan: I think the answer is both. Certainly, on many parts of the Automation Solutions business and some in Com Res, the demand side was very strong. And on both platforms, we were not able to fully execute elements of the backlog, given the constraints in labor primarily on the commercial side and electronic supply on the automation side. So, the backlog growth was driven by both fronts, supply and demand.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lal Karsanbhai for any closing remarks.
Lal Karsanbhai: Well, thank you very much. Thank you, everyone, for your time and confidence in us. So, we’re excited about the quarter ahead. And I look forward to seeing many of you as we go through the next three months. And until our next call, stay healthy and safe, and stay well. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.